Operator: Good afternoon, everyone, and welcome to TILT Holdings Fourth Quarter and Full Year 2021 Earnings Conference Call and Webcast. Today's call is being recorded for replay purposes. A replay of the audio webcast will be available in the Investors section of the company's Web site approximately two hours after the completion of the webcast and will be archived for 30 days. I would now like to turn the conference call over to your host today, TILT's Head of Investor Relations and Corporate Communications, Lynn Ricci. Please go ahead.
Lynn Ricci: Thank you, Shamli [ph]. Good afternoon everyone and thank you for joining us. Earlier today, we issued our fourth quarter and full year 2021 earnings press release. The press release, along with our quarterly financial statements and MD&A, will be available on SEDAR as well as on our Web site at www.tiltholdings.com.  Please note that during this afternoon's webcast, remarks made regarding future expectations, plans and prospects for the company constitute forward-looking statements within the meaning of applicable securities law. Actual results may differ materially from those indicated by such forward-looking statements as a result of various factors, which we disclose in more detail in the Risk Factors section of the MD&A for the three and 12 months ended December 31, 2021, filed with the applicable Canadian securities regulatory authorities, which can be found on sedar.com. We remind you that any forward-looking statements represent our views as of today and should not be relied upon as representing our views as of any other subsequent date. While we may update such forward-looking statements in the future, we specifically disclaim any obligation to do so, except as otherwise required by applicable law. On today's call, we will refer to certain non-IFRS financial measures such as adjusted EBITDA, working capital and gross profit and margin, excluding changes in the fair value of biological assets and inventories. These measures do not have any standardized meaning prescribed by IFRS and may not be comparable to similar measures presented by other companies. Management considers these certain non-IFRS measures to be meaningful indicators of the performance of our business in addition to, but not as a substitute for, our IFRS results. A reconciliation of such non-IFRS financial measures to their nearest comparable IFRS measure was included in our press release issued earlier today. On today's call are TILT's CEO, Gary Santo; CFO, Brad Hoch; and COO, Dana Arvidson. Following our prepared remarks, we will open the call for Q&A. With that, I will now turn the call over to Gary.
Gary Santo: Thank you, Lynn, and good afternoon, everyone. 2021 was a transformational year for TILT, as we embarked upon the first full year of the brand partner B2B strategy that we introduced in late 2020. That strategy was based upon our belief that over a 12 to 18-month period, the wholesale cannabis marketplace would ultimately shift from bulk flower and distillate sales to more traditional consumer packaged goods. Headwinds in the wholesale market during the second half of the year accelerated the shift, testing the agility of the TILT team to transition its operations from bulk to packaged goods. I'm proud to report that the team was up to the challenge. And while we are still in the early stages of that transition, our ability to quickly activate the brands we signed during the year was nothing short of remarkable.  Whether activating Her Highness within 30 days, Old Pal within 60 days, or AIRO within roughly 90 days of signing, the team adapted quickly, modifying standard operating procedures lifetime, and by year end branded product sales neared 20% of total wholesale revenue despite limited initial production runs.  To do this meant putting our brand partner products on equal footing with our own products in terms of allocating biomass, production cycles and in the case of our stores in Massachusetts, shelf space. This is a key attribute of our strategy separating TILT from other operators in the space. More importantly, we have not experienced the softness in those branded sales that we and others in the marketplace have seen in their traditional wholesale business. This was our original premise when we first launched our strategy. And while the sample size is still small, we could not be more pleased with the results.  With predominantly the same assets for most of the year, the company experienced strong organic growth posting record revenue of $202.7 million or an increase of 28% year-over-year, as well as record adjusted EBITDA of $22.5 million for an increase of 33% year-over-year. And we did all of this while only increasing our cash-based operating expenses by 3%, demonstrating the scalability of our business. To put this in perspective, historically, our wholesale cannabis mix was made up of 20% brands and 80% bulk flower. With the progress made in 2021 and brands ramping in 2022, we are targeting a brand to bulk mix closer to 80% brand and 20% bulk over the longer term. And the response from our brand partners has been nothing short of humbling, with TILT quickly becoming the partner of choice for independent brands looking to scale their businesses.  Turning towards operations, while Dana will provide more details regarding the significant improvements made during the fourth quarter of 2021 and to the first quarter of 2022, a few words about each of our business lines. Beginning with our inhalation and accessories division, Jupiter Research, we were excited to be part of Smoor [ph] annual strategic planning process for the first time. As you may remember, Smoor is the largest vaporization hardware manufacturer in the cannabis space through their line of premium CCELL products, of which Jupiter is the largest U.S. distributor having close to 2x the CCELL market share of its nearest competitors. This represented the latest step in a renewed commitment between TILT and Smoor to grow CCELL's already dominant position in the market through the development of next generation technologies designed to address a vape market that is transitioning from traditional concentrates towards higher terpene extracts.  At the same time, our in-house R&D team together with Jupiter Founder and Chair of our Board, Mark Scatterday, have a number of proprietary products in various stages of development with the potential for some to debut in late 2022 or early 2023, pending successful QC and QA testing. The market has mistakenly labeled Jupiter as nothing more than a distributor of third party products. And in 2022, we look to change that misconception by demonstrating our full set of capabilities which, when coupled with our cannabis operations, make TILT a true full service partner to all in the cannabis space. Speaking of our cannabis operations, on the plant touching side of our business, we doubled our canopy in Massachusetts, and now hold both medical and adult-use cultivation and manufacturing licenses in the state. We also launched medical and adult-use sales in our Brockton dispensary in early Q4 and added adult use to our existing Taunton dispensary by year end. Our Cambridge dispensary is awaiting final inspection in order to commence medical sales sometime this summer.  As I mentioned earlier, we continue to take a unique approach to our retail operations, in that we choose to showcase brand partner products as well as those of our best MSO customers, helping them extend their shelf space while solidifying our role as a supporter of their businesses and not a competitor.  In Pennsylvania, we are experiencing tremendous improvements in our gardens, both in terms of available strains and potency. But our value add to our brand partners is no more evident and in the ability of our corporate development team to find ways to navigate a challenging product approval process. This core competency has allowed TILT to launch a number of branded SKUs for Old Pal and Airo that have taken off in 2022, resulting with our wholesale business in the state up 30% from Q4.  With the acquisition of Standard Farms Ohio, we entered our third limited license market and Standard Farms is quickly becoming a robust launch platform for brand partners such as 1906 and Timeless Refinery who are both in the midst of initial production runs that will allow them to introduce their first products to the state through their partnership with TILT. We are excited to unlock the growing Ohio market for additional brands possessing unique products and formulations in Q2 and beyond.  Then, of course, we cannot move on from cannabis operations without mentioning our entry into a fourth market through our historic partnership with the Shinnecock Indian Nation of New York. This first of its kind partnership establishes TILT as a social equity leader in the indigenous community, offering the company a very affordable entry into what many experts believe will be a top two cannabis market in the United States in the years ahead.  We are currently working with both New York State and the Shinnecock Nation to allow for wholesale trade outside the sovereign land and are hopeful to have the Southampton dispensary operational before year end, with the new cultivation coming online in 2023. This replicable business model allows TILT to create great value for our shareholders at the same time as providing an exceptional opportunity for economic growth for the Shinnecock Nation. As I've stated in the past, the indigenous community has been left out of most social equity conversations in cannabis. And we are proud to be at the forefront of enabling prosperity for so many in their great community. With that, I will turn the call over to Brad to review our financial results before coming back for closing remarks. Brad?
Brad Hoch: Thanks, Gary, and good afternoon, everyone. As a reminder, all results discussed today are in U.S. dollars. 2021 was a strong year for TILT, highlighted by 28% year-over-year revenue growth to 203 million and 33% adjusted EBITDA growth to 22.5 million. The revenue growth was driven by a 33% increase in Jupiter and an 11% increase in our plant-touching business.  At the end of 2020, we had 20% of our customers utilizing services from both Jupiter and plant touching. Throughout the year, we made it a priority to leverage the customer base for cross selling. As a result, we ended 2021 with 43% of customers utilizing both sides of our business.  Gross margin before fair value of biological assets for the year came in at 25% compared to 29% in 2020, with the decline primarily driven by lower margins at Jupiter due to increased freight costs in 2021 related to shipping congestion at the ports. In addition, we experienced margin compression due to customer mix during the fourth quarter.  Margins in our plant-touching business were impacted by lower wholesale prices, delayed product approvals in Pennsylvania and growth challenges in our added capacity in Massachusetts, which Dana will touch on shortly.  At the operating expense line, OpEx less non-cash adjustments for stock compensation, depreciation and amortization and impairment charges in 2021 totaled 37.7 million compared to 36.6 million in 2020. As a percentage of revenue, OpEx, excluding these non-cash adjustments, was 19% in 2021 compared to 23% in 2020 with the improvement reflecting our continuous commitment to lean operations and efficiencies. Cash flow used in operations for 2021 was 8.8 million compared to cash flow provided by operations of 9.7 million in 2020. The difference was primarily driven by an incremental $32 million investment in inventory. Roughly half of that was attributable to offset supply chain bottlenecks at Jupiter. This was a strategic decision to ensure we had supply for our partners and it continues to pay off as we remain the clear market leader in CCELL vape hardware distribution.  Given TILT's growth in 2021 and the expanded canopy that was approved at the beginning of 2021, the other half of that inventory increase I just touched on was related to cannabis. Our work in process cannabis and cannabis oil is running higher given these changes compared to last year at this time.  Looking at the primary quarterly results, Q4 revenue was up 28% year-over-year to 54 million with adjusted EBITDA up 6% year-over-year to 4.8 million. Sequentially, we saw modest growth in revenue and a slight decline in adjusted EBITDA versus Q3. Overall, Q4 results came in a bit short of our expectations due to the market softness and pricing in Pennsylvania and Massachusetts.  Turning to the balance sheet, we ended 2021 with 7 million of cash compared to 8.9 million at the end of 2020. Working capital at December 31, '21 was 41.1 million compared to 57.4 million at year end 2020, as 35.8 million of long-term senior debt has now turned into a current liability. We are in active negotiations with our banking partner and noteholders as we look to refinance our debt and extend maturities in the quarters ahead.  Regarding our 2022 guidance, we currently estimate annual revenue to range between 255 million to 265 million and adjusted EBITDA to range between 27 million and 32 million. At the midpoint, this reflects approximately 28% revenue growth and approximately 31% adjusted EBITDA growth over 2021.  With that, I will now turn the call over to Dana for operational updates.
Dana Arvidson: Thanks, Brad, and good afternoon, everyone. I'd like to start off by taking a closer look at our operations within each of our key markets. Jupiter Research continues to be a strong and steady business for us. We enjoy being the leading CCELL partner in the U.S. We'll continue to value the CCELL business as a cornerstone of our inhalation technology business. Jupiter's commitment to customer service is unmatched in the industry. Anecdotally, we recently lost a large customer of Jupiter due to pricing as we were not willing to match a competitor's price and concede to a much lower margin. However, this customer came back within two months when it became clear to them that their new product not only had quality issues and inferior performance, but the support and customer service they received was not up to par. Companies want a reliable partner who they can trust. And we've earned that trust as a leader in the vape hardware market since our inception. The ordering patterns that we are seeing from customers has adapted since the onset of supply chain disruptions driven by COVID, as customers now expect Jupiter to hold a certain level of stock and custom inventory on hand, especially with new markets coming online, such as New York and New Jersey. These changes have a direct impact to Jupiter's demand planning process and our need for warehouse space.  Having said that, it is a reminder of the fact that Jupiter is inherently levered to grow as states introduce new medical and adult-use programs. In addition to New York and New Jersey, several other states are gearing up to add adult-use programs in the coming one to two years. As our customers begin to order product into those new markets, Jupiter stands ready to grow right alongside them.  Now I'd like to transition to our plant-touching business focusing on Massachusetts and Pennsylvania. At the top of the call, Gary pointed to 2021 as being a transformational year for TILT. This can be seen from the markets we entered, the early successes with our B2B strategy, our historic partnership with the Shinnecock Nation and the team we've built to ready us for anticipated growth.  What has also been transformational behind the scenes are the new initiatives and best practices we've implemented in our cultivation facilities. When our newly hired heads of cannabis operations and cultivation took stock of the gardens last summer, quite frankly, they found problems; inconsistent watering, subpar lighting in some rooms and imperfect biosecurity protocols resulted in increased pest pressure and plant yields that were less than ideal.  To reenergize our gardens in both Pennsylvania and Massachusetts, our leadership team has taken several key steps. We recently installed new market standard LED lights in several grow rooms and plan to update additional rooms with these lights in the coming weeks. We instituted a complete reset of our genetic profiles, introducing 25 new resilient strains proven to test at high levels.  We've also invested in new cloning techniques in organic feedings to reduce time to harvest. We've drastically reduced crop fail rates. We now have more high quality flower available for sale than we ever have before. For example, Standard Farms PA was putting out 7 grams of flower per square foot during Q2 2021. Now that figure is closer to 28 grams per square foot and growing. Over the same timeframe, potency ratings at Standard Farms PA grew by 85%, rooting times decreased from 20 days to 10 days and our time to flip harvested rooms declined from five days to four hours.  On the production side, we'll be introducing additional automation to vastly improve capacity. In Q3 2021, we were producing 1,000 prepackaged dates [ph] per week. Today, we can do 10x as many. These changes have been no small feat. I would like to commend our cultivation and production teams for their hard work and dedication to their craft. As we shift more and more into a brand driven environment, the investments we make in the garden today will prove highly beneficial as we look to meet the needs of our increasing roster of high quality unique brand partners. Now let me provide some color on how these changes have impacted each market. Starting with Pennsylvania where we've recently seen growing volumes of orders following the launch of Old Pal and Airo as well as from the vape product recall announced in February, we can proudly say that we did not have any products recalled as we've always focused on product safety, consistency and effectiveness for our patients. This has allowed us to respond to the needs of operators and dispensaries who may have been impacted by the recall.  Furthermore, our corporate development team has done a remarkable job of navigating the complexities of the regulatory process in order to get our partners products to market. In Massachusetts, we're experiencing material improvements and significant traffic increases in our retail businesses following the launch of adult-use in Taunton and Brockton. Our customer retention rate has grown to over 70% in retail. As Gary mentioned, we're utilizing our dispensaries as a platform to further showcase our brand partners and expect to increase the mix of branded sales versus our own products. Before turning it back to Gary, I want to commend our team in Massachusetts for taking home a Gold and Silver award at this year's NECANN competition. Our Jilly Bean Live Resin was awarded the Gold Medal for solvent concentrates and our Vegan Peanut Butter Cups took second in the edibles category. Two top wins in such highly competitive categories is a reflection of our commitment to creating quality products, especially given that these awards are voted on by our expert peers in cannabis.  With that, I will now turn the call back over to Gary for closing comments.
Gary Santo: Thanks, Dana. Before opening it up for Q&A, I want to reiterate how proud I am of our team for persevering through whatever is thrown their way. While we cannot control the macroeconomic backdrop and inflationary pressures or delays in regulatory approvals and market wholesale pricing, our team continues to roll up their sleeves day-in and day-out to deliver for our brand partners, customers and patients alike.  It is clearer than ever that we made the right choice to emphasize CPG and brand enablement. And it was equally important that we partnered with brands that sell products all along the value chain. We have an offering for customers regardless of price point, which is critical in this inflationary environment for many cannabis consumers are trading down as opposed to paying up for ultra premium products.  TILT's plant-touching business was on the verge of being sold when I started in 2020. But the moves we have made are attracting proven talent from all parts of the cannabis industry. In 2021, we retained new heads of cultivation, cannabis operations, processing, market general managers, and most recently our new head of Investor Relations and Corporate Communications, Lynn Ricci, who joins us from Trulieve; and Donnie Rion, our new head of FP&A, who joins us from Cresco.  We entered 2021 as a collection of disparate parts undergoing significant change but exited the year as a single unified entity with an incredibly talented and deep team possessing a single vision and a relentless commitment to execution. As we continue to drive organic growth across all business lines, the increasing levels of consolidation throughout the cannabis marketplace are creating all manner of inorganic expansion opportunities that would benefit from the efficiency and the operational expertise that TILT offers, all but ensuring that our best days lie before us.  With that, we'll now open the call for questions. Operator?
Operator: Thank you. And at this time, we will be conducting a question-and-answer session. [Operator Instructions]. Our first question comes from the line of Aaron Grey with Alliance Global. Please proceed with your question.
Aaron Grey: Good evening. Congrats on the finish of the year. And thank you for the questions. So first question for me just on the revenue guide, 255 to 265, just can you provide some additional color, what's embedded within that, particularly spaced out between the Jupiter accessories as well as the plant-touching businesses in terms of the growth outlook embedded with the sales guide? Thank you.
Gary Santo: Brad, do you want to take that?
Brad Hoch: I can take that one. So as Gary mentioned in the prepared remarks, we have our Cambridge medical facility which will be opening and we're projecting the summertime right now. So that one is the only kind of new piece, but we're not expecting anything in that guidance for New York. As far as what we're looking at for Jupiter versus the other plant-touching operations, we're looking at roughly 20% growth on the Jupiter side and then the rest being in the cannabis operations.
Gary Santo: I think one of the things you have to consider, Aaron, are a couple of factors. Obviously, we're seeing all the same things that the other operators are seeing in terms of compression in pricing, compression in margins, right? So how many units do you have to sell to get to the same level of revenue? So I think we feel very comfortable that we will grow at least with the market and probably exceed the market. I think the latest PDS estimate is somewhere around 17% or 18% vape in growth, and we're trending to more like 20%. Certainly as we activate our dispensaries and more importantly, as we activate more SKUs within our brand partners, that's going to really start to drive things. If you think about how we exited the year, I think we had about 17 new SKUs that we added from our brand partners, which is just sort of scratching the surface on what they can offer, let alone the new brand partners. So I think the combination of events there, especially since the brand partners do seem to be bucking the trend of the wholesale weaknesses we've seen in the non-branded products, I think set us up for the guidance that we provided.
Brad Hoch: And, Aaron, just a little further on that. When I'm looking at the full guidance, the full year guidance we're saying is at basically a 28% revenue growth. When I was looking at that, that 20% is really what we're looking at on kind of an average basis across everything. If we look at just the inhalation in the Jupiter business, it's probably going to be a little bit lower than that as we ramp up, like I said, on the plant-touching side and have a full year of our Brockton facility and adult use in Taunton, and then a part year of Cambridge.
Aaron Grey: No, that's really helpful detail. I appreciate that. So second question for me going on regulatory, I believe you said you're still being impacted by some of the regulatory delays on product approval in Pennsylvania. So could you just give me color? Has that [indiscernible] any explanation on timing of that being resolved? I think [indiscernible] resulting in some inventory not being ready but not sold. And then also for PA, you guys put out a press release back in February talking about none of your products are impacted by the recall. So any type of near-term benefit that you guys might be seeing in the market there that would be helpful color in terms of the Pennsylvania market? Thank you.
Gary Santo: I'll jump in on the PA market initially and then I'll let Dana or Brad. I think taking it along with some reverse order there. You're right, Aaron, in that we did put out that press release in February and we did see strong demand for both our bulk terpenes, which are cannabis derived as well as our carts that we have shelved [ph], both the Standard Farms brand and our brand partner carts. And that sparked some significant growth in February. Around the time that growth was starting to work its way through the pipe, we launched Old Pal in the state, which then took right up. And as a result, I think we launched them in the last two weeks of March. And they quickly became almost 30% of all wholesale sales in that month. So we have more brands that we're looking to launch. We have a SKU with 1906 that we look to be going into production on later in I think the second quarter, possibly early third quarter. So we expect those brands to start to really take hold and drive that Pennsylvania business. It does seem like it is a SKU starved market right now. Obviously, the vape issue has slowed some things down for some providers who rely on non-cannabis derived terpene mixtures. But certainly we feel very confident with the brands we can take in. I don't know, Dana, if you want to add any more?
Dana Arvidson: The only other thing I'll say around the regulatory piece is we feel like in the interactions we've had and the dialogue we've had more recently that we're -- we probably got the battle scars to prove that we have a better understanding of how to navigate and to get the right information in front of the right people in order to get products approved. It's obviously never easy, but I think we feel like we've got that playbook down to a much better extent than we did maybe six, nine months ago.
Gary Santo: I'm going to give a special shout out. Nikki Moyers was in our regulatory compliance group and we shifted her into the corporate development group under Christina De Tomasi. And the intent there was, as we activate brands to have somebody who is firmly rooted in what is required to submit any of the product requests that we have, and Nikki has done an unbelievable job breaking down the product almost as well as the actual brands themselves in terms of understanding the formulations, what's been approved by the FDA, what hasn't, what's the daily allowable amounts? By the time we submit on behalf of our brand partners, we've already made a case that's hard in most cases for these regulators to refuse. It takes a little longer upfront. It's not the prettiest thing you have to work on. But it's resulted in getting I think all of the SKUs for 1906 approved in Ohio, getting SKUs approved in Pennsylvania when really not many others are. So I think that's a key core competency, as Dana pointed out.
Aaron Grey: Great, very nice to hear. Last question for me and I'll jump back in the queue. A lot of MSOs have been cautioning in terms of flat to down for 1Q. So just any color in terms of frequency of growth within the guidance and some color on 1Q particularly? Thank you.
Gary Santo: As far as the growth, we're looking at very similar -- our growth really, it's going to be back half driven. There's always seasonality, especially on the inhalation side when we look at the buying patterns and really shifting buying patterns of some of the MSOs. So I would say that Q1 is -- I would say we're going to echo the comments of some of the prior MSOs.
Dana Arvidson: On the Jupiter side, again, I go back to the prepared comments where I'd indicated a lot of the -- you can almost look at the status of different states in terms of introduction of a new medical program or adult use, and recognize that's a growth opportunity in and of itself with Jupiter, right, because we've got MSO customers who are going to then open cultivation and dispensaries within those states and take advantage of the new market. That puts us in a position where they can start ordering from Jupiter for that specific state. So there's some natural growth baked in there.
Gary Santo: One other thing I would add, Aaron, is as we look at all the improvements that Dana talked about earlier in our gardens, a lot of those genetics are planted our first harvest out of those 20-some-odd. Genetically, we expect probably maybe late spring, early summer. So as we look ahead to what our offerings are going to be not just on the brand partner side but even just in terms of all of our own SKUs, it really sets us up nicely across our retail network as well to really be able to push that growth.
Aaron Grey: Great. Thanks for the color. Best of luck in 2022. And I'll jump back in the queue.
Gary Santo: Thanks, Aaron.
Operator: [Operator Instructions]. Our next question comes from the line of Jon DeCourcey with Viridian. Please proceed with your question.
Jonathan DeCourcey: Hi, guys. How are you? Thanks for taking the questions. Just to piggyback on that last comment about kind of the seasonality and sequential nature of results, can you kind of just elaborate a bit further on how much of that kind of implied second half ramp is anticipation for new markets for customers buying Jupiter as well as kind of how much of a boost will the Cambridge medical dispensary kind of bring on board here as well?
Gary Santo: We continue to sport organic growth at this point. We've made no real acquisitions, right? We talked about the movement to New York. We're hoping to get the dispensary open towards the end of this year, but the cultivation really won't come online until 2023. So you figure, there's not really much of anything baked in on that front. Certainly, we expect to see some ramping in Ohio as we start introducing products. Ohio was virtually a non-contributor to our bottom line last year. We expect that to change this year. I think the improvements that we are seeing in our efficiency and our throughput and in the quality of what's coming out of our cannabis operations in Massachusetts and Pennsylvania are going to be big drivers. We took advantage of the softness really in Q4 into Q1 to hit that reset button on cultivation. We actually -- we call it some of our [indiscernible] rooms. We took some dramatic steps because we felt ultimately we could have kept what we had and reached a certain level where we would never get any better, or we could hit the reset button, take advantage of the softness in the market. And as the market starts to come back, be ready and raring to go with some serious high quality genetics. And that's what we did. So I don't know that it has much to do with new markets. On the dispensary front, I think there the hope is Cambridge is all built out. We get through our process. And if by the end of the summer, that's open in medical, we would expect the Cambridge store to be every bit as good as the Taunton store as far as medical is concerned, if not better, given its location. There's really no other dispensaries nearby. So it's a TBD until it gets open. I don't like counting it before it hatches. But certainly that will play a role in it. But I think it's still going to be more organic growth vetting our assets.
Jonathan DeCourcey: Okay, that makes sense. All right. And then kind of just back to those, you elaborated a lot on the quality controls and the quality improvement at the cultivation facilities in Massachusetts and Pennsylvania. Can you just kind of talk us through what does that -- how does that translate to results? Is this more of a -- is it a better scale of revenues for what you're doing, getting more output out of your canopy? Is it better pricing by just having higher quality product? What was kind of the read through there with these --?
Dana Arvidson: I think the result is a combination of everything you've just said. I think having higher potency flower is significant. There is a set of consumers out there that are obviously very potency focused, very flavor focused. In some other instances, having the ability to turn rooms over more quickly so we can get additional -- you could potentially get additional half turn out of a particular room than you might have otherwise. Obviously, that means you're able to harvest more plants over the course of the year. And so the end result of all of those changes is higher quality flower, better testing flower, less likelihood that you're going to have flower that's subject to remediation, right? And a lot more diversity in what you can do and what kind of products you can put out on the shelf where if you're limited to sort of two strains that are consistently sort of subpar, that limits a lot of what you could put out from the standpoint of products for people to buy.
Gary Santo: I would actually add a couple. The Pennsylvania stat is the one that jumps off the page. Where you can go to 7 grams per square foot to 28 grams, that's just getting so much more throughput out of the existing infrastructure that you expect margin improvements to come out of that. If the quality is better, obviously, you hope to get pricing improvements at the same time. But I also think the other piece has to do with our brand partners. As we work with brands, more and more they are looking for strain specific solutions. So the more strains we are able to offer, the more blends of strains, custom strains, and the experiences associated with the strains I think just continues to enhance our attractiveness to the brand partners, both for their existing SKUs and then as they look to these markets, almost everyone we are working with now is already talking about expanding the SKUs they might not even have in other markets. So if we're doing that right, that's kind of the proof of the pudding for us. So it's a cascading effect, as Dana said.
Jonathan DeCourcey: Okay, that makes sense. And then you guys have had success so far in bringing brands into Massachusetts and Pennsylvania. How is that translating to wholesale demand? And kind of similarly to the cultivation question I just asked, is it a drive-thru of greater demand or are you guys seeing better pricing there?
Gary Santo: So I think there it starts with the demand. I would say that we continue to sell through our branded partner products in all of our markets. We haven't launched in Ohio yet. But we have every reason to believe when 1906 hits the shelves and Timeless behind them, that demand is going to be pretty hot and strong just based on what we're seeing in other markets that those products are in. So as I look at that compared to say our legacy wholesale products where we've seen that same softness that others have seen, that's really why we partnered with these folks, right? We're fighting for that part of the MSO shelves that they dedicate to third party products, and then bringing third party products that the consumer want is important. Now as far as the pricing is concerned, our general feel is overall these brands would attract a better price point than if we produce the same exact product under our own brands. So while we might be sharing some of the economics there, we're also sharing a larger pie, so to speak. So that's sort of the two-step prongs as we look at the brand throughput. It was really prepping for what we thought was going to be a much more mature wholesale market. We always thought this is what would happen. The bulk and the sort of [indiscernible] brands would struggle, but there would start to be some brands emerging. And again, it's still early days. But certainly what we saw even though the whole process accelerated faster than we anticipated, we've seen that strength in the brands on the sell through and then also on the price points.
Jonathan DeCourcey: Okay. And then just one final question on me. You guys -- everybody's kind of talking about Massachusetts pricing challenges and headwinds on the wholesale side. How do you see this kind of going for the remainder of this year? Do you see things improving? And is there kind of a light at the end of the tunnel here? Are we just going to continue with a bit more challenging, obviously, not near as challenging as the western part of the country but still more challenging that it's been in Massachusetts for a while?
Dana Arvidson: I think I'd go back to -- not to sound like a broken record, but I'd go back to the points we've been making about leaning into brand partnerships, brands that have proven themselves in other markets because one way to stabilize or even grow on the wholesale side is to bring new unique products that haven't yet hit the market in that given state, right? Because you can differentiate yourself from everyone else who's selling the exact same flower, the exact same strains, the exact same potency. But if you can differentiate yourselves with new brands that have that uniqueness, we think that that's the way that you maintain and grow those wholesale relationships is to continue to bring them diversity of brands, different form factors, different composition, whatever is available. So I think that -- again, it all comes back to having those partnerships.
Gary Santo: And actually the flipside of that too is I think in Massachusetts, there's one other piece that matters. If it's high quality and it's got a high potency, it's still going to carry a good price. If you are a great purveyor of mediocre flower, then you are feeling it worse than most. But if you're able to crack that high 20s, low 30s every now and then, you're probably still able to command some amount. So that 20% of our business that might be looking at the wholesale flower sales goes back to Dana's earlier comments about if we have the better products coming out of the better garden, not only does it help our brands, most certainly it does, but it also I think gives us a leg up to help combat those compressing prices.
Jonathan DeCourcey: Okay, that's really helpful. And actually I do have one more question. You guys have talked previously about New York and not wanting to step in front of the legal market in the state, even though technically you can with the Shinnecock partnership. What happens if things get further delayed and there aren't social equity candidates in the fourth quarter, would you still go ahead and open a dispensary as you alluded to earlier in the call?
Gary Santo: A lot of that depends on what the Shinnecock decides. So they've already done the medical approval. And I think, by all means, we would open up the medical dispensary. The only gating factor in terms of the speed there is if we're able to work with both the nation as well as with New York State to get approval to be able to purchase wholesale product from other MSOs in the state. The great news is we've got a few MSOs that have written letters to the state in support of the Shinnecock project. Everyone just wants to make sure they won't be violating their existing New York State license the second they sell that wholesale product over the sovereign state line. On the adult-use side, I guess that will be kind of a game time decision. I think the Shinnecock know they have the ability, but also are very cognizant and aware of their relationship with New York State. That said, I don't know if that changes if there continues to be delays because obviously this is meant to be an economic engine for the Shinnecock and we would support them every step of the way.
Dana Arvidson: I think we feel and the Shinnecock as well feel to a certain extent that the constructive dialogue with the state and OCM around this topic has been very, very helpful, very positive in nature. So obviously, you can never sort of predict the future in that way. But we've been very pleased with the openness of OCM to come up with a solution for the Shinnecock.
Jonathan DeCourcey: Okay, great. Well, it's really helpful. Thanks, guys.
Gary Santo: Thanks.
Operator: And we have reached the end of the question-and-answer session. I'll now turn the call back over to Gary Santo for closing remarks.
Gary Santo: Thank you so much. Again, thanks everyone for joining us this afternoon for our report on the fourth quarter and full year. We're already almost all the way through the first quarter. We're excited to be reporting back to you in probably four or six more weeks, give or take, on how things are going along the way. The transformation continues. It's going quite well. And we're excited for the traction we've made but more excited for what lies ahead. So look forward to connecting with you again next quarter.
Operator: And this concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.